Operator: Good morning, everyone. My name is Bo and I will be your conference operator today. At this time, I would like to welcome everyone to Goodyear's Fourth Quarter 2025 Earnings Conference Call. [Operator Instructions]. Please note, this call will be recorded. It is now my pleasure to turn the conference over to Mr. Ryan Reed, Vice President, Investor Relations. Please go ahead, sir.
Ryan Reed: Thank you, and good morning, everyone. Welcome to our fourth quarter 2025 earnings call. With me today are Mark Stewart, CEO and President; and Christina Zamarro, Executive Vice President and CFO. A couple of notes before we get started. During this call, we'll make forward-looking statements and refer to non-GAAP financial measures. For more information on the most significant factors that could affect our future results and for reconciliations of non-GAAP measures, please refer to today's presentation and our SEC filings. Our earnings materials, including a replay of this call, can be found at investor.goodyear.com. With that, I'll hand the call over to Mark.
Mark Stewart: Thank you, Ryan, and good morning, everyone. We appreciate you joining our call. I'll begin today with a brief overview of the financial results, then walk you through what we're seeing across each of our business segments. I'll then hand it over to Christina, who will provide a view into our fourth quarter financial results as well as fourth quarter outlook. Let's start off with quarter 4. We delivered fourth quarter revenue of $4.9 billion, and segment operating income of $416 million, which represents year-on-year organic growth of 18% and continued sequential growth in earnings and margin across each of our geographies. As I mentioned in the press release, we issued yesterday, our fourth quarter results marked the highest SOI and SOI margin the company has achieved in over 7 years. And our free cash flow was one of the strongest on record. These results cap a year of meaningful progress on multiple fronts for Goodyear. We executed relentlessly on Goodyear forward, where our P&L commitments were consistently ahead of schedule. To date, we have delivered $1.5 billion of run rate benefits under the program. We drove renewed focus on high-value segments of the market and increase the vitality of our product portfolio by launching 30% more new products than most in our company history. We increased pricing in the U.S. and Canada in response to the tariffs. We won significant share in consumer OE in both the U.S. and Europe. We refreshed our brand advertising and customer programs in key markets. And finally, we completed 3 major asset sales in 2025, returning the balance sheet to a position of health and one that is more reflective of our iconic company's leadership in our industry. Controlling the controllables. it's a theme I emphasize frequently during the year as the industry environment proved to be and remains very challenging. And while I'm encouraged by our strong fourth quarter results, it's clear that progress isn't linear in today's environment. So I'll move on quickly to what we're seeing in the businesses and how that's reading through into the first quarter. Start with the Americas. In the Americas, the consumer replacement market remained volatile in the fourth quarter. U.S. consumer sellout declined despite the vehicle miles traveled remaining positive. On the other hand, we saw increased sell-in discounting and promotional activity as we ended the year, which only exacerbated the high levels of channel inventories. As we've shared, our focus has been on price mix and higher-margin tires, which means we won't sacrifice margin for the sake of fleeting volumes. The price mix in our fourth quarter results is a testament to that strategy and the execution. What we saw in January was an industry sellout that was materially weaker than Q4, down about 5% across the industry. Part of this can be explained by the shock of the January storms and the frigid temperatures around the country but it's also true that consumers are extending the tread on their tires. All of this means that on the back of high channel inventories, dealers and distributors are taking action to reduce inventory in the first quarter. Similarly, trends in Americas commercial truck remained very challenging during the quarter. Heavy truck builds in the U.S. declined 17% during the fourth quarter as the OEMs continue to destock. In commercial replacement, industry sell-in leveled out after being artificially inflated earlier in the year with pre-tariff front-loading of the imports. Within the turbulent environment, we remain focused on building the pipeline and the discipline for sustained growth. This includes making the right changes in our product lineup and programs with our customers to drive a more resilient portfolio of products than we've had before. We are bringing greater discipline through clear matching of products to white space opportunities and high-margin profit pools with governance of our cross-functional work streams, including a fully integrated pipeline across product planning, technology, manufacturing and marketing. This combination ensures we bring the right products to market at the right time, allowing us to grow where we can generate the highest returns. I am equally focused on our manufacturing costs. We are establishing the rigor within our teams to continue driving throughput, yields and efficiencies factory by factory, so we can optimize the way we flex costs to generate the best outcomes for the future. and we are building the team. Over the past several quarters, I've updated you on strategic hires we've made that are helping to innovate Goodyear and how we approach our business. As our largest region, the Americas is foundational to Goodyear's performance. As we look ahead to the opportunities in front of us, we are refining how we lead the business to drive clear ownership, faster decisions and more consistent execution. In January, Dave Cichocki joined our team and will lead the Americas and our Americas consumer organization with a strong focus on sales execution, profitable growth and alignment with our global strategy. Dave brings more than 3 decades of senior sales leadership across well-recognized industrial and consumer companies and has a proven track record of building high-performance teams, modernizing go-to-market models and driving sustainable margin-focused growth, capabilities that align very closely with the transformation underway at Goodyear. I'm confident that this leadership evolution further positions the Americas organization for long-term value creation. Turning to EMEA. Softening sell-in trends within consumer replacement reflected anticipation of EU duties on Chinese tires. While the European Commission recently announced an anti-subsidy investigation into Chinese passenger tires, the time line for a decision on antidumping tariffs has been pushed to midyear. Our consumer OE volumes in EMEA extended their run on market share gains, growing share by roughly 3 percentage points. Q4 was the eighth consecutive quarter of market share gains in the region. Profitability for EMEA continued to sequentially increase during the fourth quarter. If I look at the underlying operations, we are making steady progress with EMEA's fourth quarter SOI margin at the highest level in over 3 years. In addition, we settled an important insurance claim during the quarter, which helped to deliver strong free cash flow for year-end. If I look at EMEA from a macro perspective, with 2 major factory restructuring actions in the region completed in '25, another underway in '26, our cost base is seeing improvement. As the industry works through elevated channel inventory from prebuy activity, we expect high utilization of our consumer capacity in the region. In Asia Pacific, our performance strengthened with meaningful growth in SOI margin, and we're seeing the benefit from strategic actions to prioritize margin performance. Following a year of prudent SKU rationalizations, our consumer replacement volumes in the region returned to growth. Consumer OE volume was a headwind for Asia Pacific in '25 as government incentives in China have been geared towards opening price point vehicles. We are committed to managing our costs to maximize margin and to generate strong returns in the region. Let's turn to Goodyear Forward. Our fourth quarter results demonstrate the broader transformation underway across the company as we've sharpened our focus on execution, made deliberate portfolio choices and prioritized sustainable margin performance. Over the past 2 years, we've made substantial progress in strengthening our execution, and I'm proud of the discipline that underpinned the Goodyear Forward plan that made this possible. While market disruption around tariffs and trade has meant we're finishing '25 short of where we need to be, the successes we drove in the fourth quarter gives me confidence in our ability to ultimately deliver on those commitments. As I mentioned on our second quarter 2025 call, these targets are not off the table, and we're still executing with discipline and a sharp commitment to achieving them. There are 2 drivers that can help us achieve these goals, market improvement that allows us to recover profitable volume and continued self-help. -- we are not waiting for the market. We've been actively building the next phase of our plan to further drive cost efficiencies while increasing the company's exposure to the most structurally attractive parts of the tire market. As market disruption clears and the visibility improves, we look forward to providing additional details on our strategy, initiatives and the medium-term financial framework. All in all, while our Goodyear Forward plan has now reached its 2-year conclusion, we will continue to work to deliver a strengthened foundation. We are integrating Goodyear Forward's efficiencies, discipline and precision to drive a more durable earnings profile. With that, I'll turn the call over to Christina.
Christina Zamarro: Thank you, Mark, and good morning, everyone. Our fourth quarter results reflect the execution of targeted actions to strengthen our business over the past 2 years. Goodyear Forward has provided significant benefits and debt reduction has situated us well compared to when we began the transformation just 2 short years ago. Turning to the fourth quarter results on Slide 8. Q4 sales were $4.9 billion, down 0.6% from last year, given lower volume and the sale of the OTR and chemicals businesses. Additionally, revenue per tire increased 4% in the quarter, driven by an 8% increase in consumer replacement. Unit volume declined 3%, driven by consumer replacement. In addition, Americas commercial volume declined 14%, reflecting ongoing market weakness. Consumer OE volume increased 2%, driven by share gains in EMEA. Gross margin increased 1 full point during the fourth quarter, driven by strong execution and price/mix and Goodyear Forward. Segment operating income was $416 million, which was up about 9% versus last year and up 18% adjusting for divestitures. SOI margin was 8.5% in the quarter and up 1 point, excluding asset sales. Our segment operating income in the quarter includes $56 million related to the settlement of a business interruption insurance claim, which we have excluded from adjusted earnings per share. After adjusting for this and other significant items, our non-GAAP earnings per share was $0.39. I'll note that we also received insurance proceeds of $52 million in the fourth quarter of 2024. Turning to the segment operating income walk on Slide 9. Our 2024 earnings base was lower by $30 million due to the sales of OTR and Chemicals. After this change in scope, our 2024 segment operating income was $352 million. Lower tire unit volume and factory utilization were a headwind of $92 million. Price/mix was a benefit of $206 million, with each of our regions contributing to the strong performance versus our prior outlook. Higher revenue per tire was driven by both price and mix up, where we grew greater than 18-inch tire volume in the U.S., EU and China. Raw material costs were a slight headwind of $9 million in Q4. Inflation, tariffs and other costs were a headwind of $227 million and other SOI was a headwind of $13 million. Goodyear Forward contributed $192 million of benefit during the quarter and ahead of the outlook we shared with you on our last call. On a full year basis, benefits from Goodyear Forward were $772 million. In total, we exceeded our initial P&L targets for 2024 and 2025 by over $150 million. Turning to Slide 10. With a strong focus on our balance sheet, we generated over $1.3 billion in free cash flow during the quarter. Combined with proceeds from divestitures, our net debt declined $1.6 billion versus a year ago, which reflects the benefits of net proceeds from asset sales, partly offset by cash restructuring and currency translation on debt. Moving to the SBU results on Slide 12. Americas unit volume decreased 4%, driven by lower U.S. consumer replacement volume. Commercial volume was significantly lower than last year and sequentially, particularly in replacement. U.S. consumer replacement industry sell-in was down about 0.5 point during the fourth quarter. As part of that, U.S. TMA member shipments were essentially flat year-over-year, while low-end nonmember imports declined 3% during the quarter. Industry sell-out at retail declined 2.5% in the fourth quarter. U.S. consumer OE volume declined 3% and was driven by supply chain challenges within our OE customers. We achieved significant market share gains for the full year in consumer OE. U.S. commercial OE industry volume declined 26% as OEM production remained very depressed amid continued weakness in freight and ongoing regulatory uncertainty. Similarly, U.S. commercial replacement industry volume was lower by 5% during the quarter. Americas segment operating income was $233 million or just over 8% of sales. Turning to Slide 13. EMEA's fourth quarter unit volume decreased 2%. Consumer industry sell-in declined as imports fell 7% in anticipation of potential tariffs in 2026. With the extension of the time line for a preliminary decision on antidumping tariffs in the EU, we're cautious on near-term conditions as the delay provides further opportunity for another round of low-end imports to make their way into the region. Consumer OE was a continued area of strength where EMEA registered its eighth consecutive quarter of market share gains. Segment operating income in EMEA was $114 million or 7.5% of sales. The increase of $76 million was driven by the insurance recovery we mentioned earlier. That said, excluding the insurance, SOI increased by $20 million and margin expanded 120 basis points versus last year. Turning to Asia Pacific on Slide 14. Fourth quarter unit volume decreased 2%, driven by lower OE volume. Consumer replacement volume returned to growth following SKU rationalization actions that meaningfully contributed to volume reductions throughout 2025. Segment operating income was $69 million or 13.1% of sales. Excluding the sale of the OTR business, Asia Pacific segment operating income increased $16 million and margin expanded 330 basis points. Turning to our first quarter outlook on Slide 16. Business trends moving into 2026 still reflect many of the same headwinds we faced in 2025. Even though the overall tariff environment has broadly stabilized in the U.S. Overall weak industry conditions continue to affect our global operations in terms of top line and cost. While our fourth quarter results demonstrate meaningful progress, we anticipate continued volatility as we move into 2026. First quarter results will be particularly impacted as heavy fourth quarter promotional activity across the U.S. consumer replacement industry further inflated channel inventory. At the same time, consumer industry sell-out during the month of January was down significantly, shaped by extreme winter temperatures and weak consumer sentiment more broadly. And in Europe, the delay of the ruling on a potential tariff on consumer imports has added to this uncertainty. As a result, our first quarter SOI will be significantly affected, driven by the convergence of lower consumer replacement volume, fixed cost carryover from 2025 and a continuation of unusually weak commercial truck trends. These are temporary factors, and we're confident that we'll regain earnings and margin momentum once this turbulence subsides. We expect first quarter volume to be down approximately 10%, driven by U.S. consumer replacement. Unabsorbed overhead will be a headwind of $60 million. As we shared on our last call, we lowered production by 4 million units in Q4 to manage inventory levels. With weak volume trends in the fourth quarter and in Q1, we will see a similar impact in the second and third quarters as we align production with demand. Price/mix is expected to be a benefit of approximately $25 million given Q1 volume and as we anniversary 2025 price actions and begin to see the impact of RMI indexed agreements. Raw materials should be a benefit of approximately $85 million in Q1. Full year raw material costs are a benefit of $300 million at current spot rates. Goodyear Forward will drive benefits of approximately $100 million in the first quarter and about $300 million for the full year. Inflation will be similar to what we saw in Q4. Tariffs and other costs will be a headwind of approximately $130 million, with tariffs at approximately $65 million and other costs reflecting increases in warehousing and freight, factory inefficiencies and transitory manufacturing costs associated with previously announced facility closures. For the full year, tariffs will be a headwind of $175 million and other costs will be $120 million, both weighted to the first half. Finally, the sales of Dunlop & Chemical lowers the base of earnings by $37 million in Q1 and $185 million on a full year basis. In addition, we will amortize $55 million of deferred revenue in 2026 related to supply agreements from the 3 asset sales. This is an increase of roughly $15 million versus 2025. Other financial assumptions are shown on Slide 17. For modeling, on a year-over-year basis, we've decreased both our CapEx and interest expense. With that, we'll open the line for your questions.
Operator: [Operator Instructions] We'll go first this morning to James Picariello of BNP Paribas.
James Picariello: I guess I first need to ask about volumes, how you're thinking about volumes for the remainder of the year. Obviously, we have the first quarter look and you just gave the overhead absorption headwind through the third quarter. I was just thinking if volumes start to stabilize in 2Q and improve from there, is it possible that the overhead under absorption might not be by the third quarter similar to the first quarter? And then, yes, my question is just your high-level thoughts on OE versus replacement the rest of the year.
Mark Stewart: James. Yes. As we discussed at the opener, we really expect the conditions to improve after Q1, right? Weather obviously being a big headwind, but also some of the destocking and the inventories feeling a little bit stuff, if you will, in terms of distribution coming into the year. So those 2 things really are a drag on Q1. Coming into that as well, right, we slowed our production in the fourth quarter because we did not stuff channels. We wanted to make sure we were maintaining that richer mix, if you will. So we made sure to be careful with that. So we have that drag in Q1, which should correct as we go into Q2 with that. So the drawdown in Q1, we think it's going to be constructive as we look at the industry and for Goodyear specifically. If we look at the sell-out as well from quarter 4, right, down 2.5 points plus that inventory going into the system with heavy promo in terms of the stuff going into sell-in from others. So as that clears, we're really focused on making sure that we're continuing our U.S. portfolio, in particular, right, with the richer mix, the larger rim sizes. As mentioned, we had 30% more new products into the market than we've ever had of the white space products in that premium size in terms of a much richer mix in terms of margin. We're going to also increase that assortment of new products throughout '26. We are driving the business in a completely different way. The governance aspects and the control towers we put in place are very important. We've not fallen back on that. We've also created across the globe on our SLT, working directly with Christina and I, Alex Depau that was internal to part of the Goodyear Forward process and the clean sheeting running our global business process with the transformation office. so that we can make sure working with each SLT member around the globe and their teams, we are driving those -- the cost and cost efficiencies around the world, James. So on that 30% new product coming into the market as those really take hold and get their shelf space, we've got another 1,700 new products coming in '26, all fitting the bill of the richer margin on more premium size, premium mix. So we're really confident that we're positioning the business to drive those earnings past Q1. Christina?
Christina Zamarro: Thanks, Mark. So James, I'll just jump in on the question on unabsorbed overhead. I think embedded in the comments around Q2 and Q3 is an assumption that Q2 sell-in begins to normalize in line with sell-out. Mark mentioned a recovery in demand in Q2, but still, I think, a conservative assumption. You could argue that there's some pent-up demand there. So -- and it could be -- the unabsorbed overhead impact could be lower. So we'll see how that plays through. When you asked about OE and replacement, and I think the best way for me to talk about that is by region. And Americas second quarter, I would still say, is still lower in consumer replacement year-over-year, but significantly better than the first quarter with the expectation for slight year-over-year growth in the second half. Consumer OE should grow beginning in Q2, and that's all based on our mix of fitments. When I look at EMEA, planning for a softer first half in consumer replacement just given the delay on the tariffs. And then consumer should continue to be strong just given the share gains we've seen over the past couple of years. Commercial OEM replacement volumes in EMEA will be up but low single digits is sort of what we're thinking stable. And in comparison, in the U.S., looking at commercial replacement down in Q1, maybe stable, slightly down in Q2 and then up a little in the second half.
James Picariello: Okay. That's really helpful. And then one quick clarification is for the divested Dunlop units, is that still about 6.5 million units. And that's excluded from any volume assumptions that you're sharing, right?
Christina Zamarro: Yes. So the Dunlop sales in 2025 were closer to 5 million units, James. And the supply agreements that we have with SRI are a minimum of 4.5 million units.
Operator: We'll go next now to Itay Michaeli at TD Cowen.
Justin Barell: This is Justin on for Itay. So a quick question on the Q1 volume setup and industry assumptions kind of baked into that. I know you briefly hit on it for a bunch of the regions, but just kind of how you're thinking about it against Q4 to Q1 and the industry sell-in and industry sell-out trends that you may be modeling for Q1. Where would you expect, I guess, total channel inventory to kind of look like at the end of Q1? Just trying to get a sense of that more cleanly.
Christina Zamarro: So if I look at how year-end landed, we believe across the industry that U.S. channel inventories increased about 10% on a year-over-year basis, and that was a lot driven by prebuy of imports over the course of the year and then this increased promotional activity at year-end. I think built into our assumptions is that the majority of that is declined over -- or is declining in Q1, maybe a little bit of flow-through into Q2. And so earlier, when I was mentioning that our assumption for Q2 volume in Americas consumer replacement is still beginning to improve and -- but yet below sellout, I think there's still some inventory clearing that we've assumed here in Q2.
Justin Barell: Perfect. Super helpful. And then I guess maybe on the information you provided before on the volume by regions and kind of understanding the nuance and cadence throughout the year. How should we think about maybe where the 2026 full year SOI and free cash flow land maybe based on those volume assumptions as well as maybe anything else that might not be explicitly guided for within the deck? Just trying to get like a rough bridge here.
Christina Zamarro: Yes. No, no problem. So I'll walk through the assumptions, and I did try and lay out quite a bit in the presentation, but I'll just take you through add some context on some of the different drivers. If you start with our 2025 SOI ex insurance, that's about $1 billion. And then we take out the impact of the divestitures, which would leave us at about $815 million for base. as we begin the year. Lost revenue on the divestitures, we noted in the presentation, is about $915 million. So Goodyear Forward, $300 million. We've increased that steadily over the past couple of quarters. We'll continue to look to add to that over the course of the year. Mark was referencing that earlier. Tariffs are a headwind of $175 million, and that's really concentrated in the first half just given the timing of tariff implementation last year. Now other costs should be about $120 million, and that includes the ramp down of a couple of our factories last year. So we'll lap a lot of those costs in the first half. raw materials are a benefit of $300 million at current spots. And I'd say 2/3 of that is going to pull through in the first half of the year. And then price/mix, we haven't spent time talking about that yet, but price/mix should continue to be positive as we move through the year, lower in Q1, obviously, on volume and some of the seasonality, but a significant step-up in Q2 and Q3 until we get to a very high comp in Q4. And so then it all comes down to what we want to assume on volume when we lay out those drivers. I think you should be able to model year-on-year organic growth on that base SOI of $815 million in the range of 10% or so. And I mentioned this earlier when we were talking to James, but we're assuming that Q2 sell-in in the U.S. begins to normalize in line with a normal level of sell-out. We're also assuming U.S. imports are stable to down slightly in 2026. And we're assuming European imports are up slightly. And so that's all embedded within our assumptions. I think that free cash flow then, as you look at all the drivers and you create a bridge we should have a significant improvement in restructuring on a year-on-year basis. We're going to drive working capital inflows this year, reductions in interest expense. So all of that takes us to a base case where we're delivering slightly positive free cash flow. Of course, we're going to look to improve on that as we move through the rest of the year.
Operator: We go next now to James Mulholland of Deutsche Bank.
James Mulholland: So on the commercial vehicle side, there's been some significant improvement in expected orders for Class 8 in North America since your last update. So 2 questions there, given how important it is from a margin standpoint. First, does your guidance anticipate any further improvement in the overall CV market in the U.S.? And second, do you see this improvement spreading to other geographies as well in the near term? And then I have a quick follow-up.
Christina Zamarro: So in the Americas, our commercial business for OE is expected to be up, I'd say, high teens, low 20% in the second half. Of course, that's off of a very, very low base. We should see the beginnings of some volume price/mix improvements in Americas commercial in the back half. But I wouldn't say that our assumptions there are robust. In EMEA, commercial OEM replacement, we do have growth, but I'd say it's low to mid-single digits. And it's not really a relevant business for us in Asia Pac. I think on average, we should be running between 12 million and 13 million units in commercial to generate a historical level of margins for that business. In 2025, our unit sales only totaled $11 million. So there's a lot of leverage as we see this business improve.
James Mulholland: Got it. Okay. That's helpful. And then I guess with Goodyear Forward's completion now and in line of sight, it sounds like there could be maybe a little bit more upside on the cost savings there. I think last year, it feels like a while ago now, but the original exit SOI margin was around 10%. That was the target anyway prior to tariffs and other issues. Do you think that's a level that you can approach over the longer term? Or are there other significant steps that you can take to get to that point? Or I guess, where do you think you could end this year and then start to leap off into '27?
Mark Stewart: No, we absolutely -- we've not backed off our Goodyear Forward targets. As we've shared in earlier calls, it's been more of a bit of a pushout to get to that overarching 10% SOI. As you can see in the year ending results, right, of 2 of the 3 units, particularly on the consumer base, already at that level, as Christina just described on commercial, right? Certainly, the commercial business and the downturn in commercial as an industry really was a drag towards hitting that overarching 10. But as I mentioned, as we continue the execution of our Goodyear Forward, that's really embedded into our DNA, right, of keeping the pipeline full of projects and executing those for cost efficiency as well as continuing to drive that richer mix of products around the world with the 1,700 -- or sorry, 1,500 and 1,700 new products coming into the market, both refreshed and brand new on the consumer side and making sure that we're best-in-class service on the commercial side. We feel good that we are going to get there as we go forward.
Operator: We'll go next now to John Healy of Northcoast Research.
John Healy: I just pounded in a minute late, so I apologize if you maybe mentioned this a little bit. Could you talk a little bit about the down 10% volume number for Q1 and kind of the puts and takes that goes into that number? My thought process had been that maybe there was a restocking opportunity on the horizon here. So is it a function of customer or moving away from any specific parts of the market, maybe how that down 10 might look directionally by region? And do you persist that kind of down volume kind of taking place throughout the year? And kind of what's your view of just the global market probably opportunity this year, whether it's for Goodyear or for just the industry as a whole?
Christina Zamarro: John, I think you're right. I mean the U.S. market theoretically could be a lot better in February and March. Having said that, I think within our assumptions is the expectation that the first quarter sees a more significant onetime destocking just based on the activity we've seen so far to date. A large part of our story, so the downturn in U.S. consumer replacement really lies in what we're seeing as far as discounting and promotional activity, and that started in Q4 but it's continuing on into January. And so we are intentionally focusing on revenue per tire and mix, which was very strong in the fourth quarter because we have a point of view that we -- that this will -- disruption will moderate, and we want to protect the returns within the business through that period. There is a small part of the down 10% that is disruption, I would say, within our own customer base, you'll recall in the second quarter of last year, we exited the relationship with ATD. And that's a part of the headwind, but not a significant part. That begins to normalize in Q3, of course. And then in EMEA, we've talked about the delay on the EU tariff implementation or the prospective tariff implementation. That we've moved from January until the summer months. So we're expecting EMEA consumer replacement volumes to be soft in the first half as well.
Mark Stewart: And maybe we can tack on, right? The strength in Q4 in EMEA, we were really pleased with our new winter premium products. They performed super well. They won the ADAC test. They were a very strong first winter pool on the OE fitments that we got in the market in '24 and '25. And that really helped drive that 2-point share gain in the premium 18-plus in EMEA. So super strong demand for that product.
John Healy: Got it. And then just on the cash flow benefits that you talked about, I think you called out working capital as an inflow this year. Is that first half? Is that second half? And is there anything kind of unique that's happening there? And as you look at kind of the business, I know you guys have tackled a lot of things operationally. But from a financial standpoint, in terms of managing working capital, are there any sort of big projects you could do there to maybe kind of thaw some of the cash flow aspects of the business a bit?
Christina Zamarro: So John, I would say Mark was referencing a little bit earlier, shifts in the way we operate and improvements in governance. I would say working capital performance this year should be smoother and less peaks, less valleys as we're managing the business for cash, that was embedded within my prepared remarks when I talked about unabsorbed overhead impacts. And so just trying to manage cash flow very closely quarter-to-quarter. Last year, it's very clear that the factory ramps down very quickly at the end of Q3 and Q4 just on all of the tariff import prebuy, which makes it harder to flex costs. And so it has 2 benefits, right? One is the better cost management within our factories allows our teams to flex better, but the second is in working capital. And so I think we'll see a smoother profile this year than normal, even though we do have a lot of embedded seasonality. As far as projects, I mean, we do continue to evaluate all alternatives in and around working capital because it is a big source of cash or use of cash and source of cash as we think about funding the business. In 2025, we increased, for example, supply chain financing, bringing on more and more suppliers into our top-tier banks credit facilities. And it's projects and programs like those that we'll continue to look to, to help fund some initiatives and potentially push the working capital inflows that we're expecting in 2026 even beyond what we've laid out here.
Mark Stewart: I would add to it just a bit, John, as well. When you look at the CapEx on the base CapEx and you see a lower number there as well. It doesn't mean we're doing less. What it means is we're doing a heck of a lot more with what we've got. And that goes to big process changes that we've had within our global engineering and manufacturing groups that was really kind of an outcome of some of the activities we had on Goodyear Forward, but together with procurement, just on the buy, right, whether it was bundling, whether it was clean sheeting, but also looking to our equipment standards, the location of sourcing, the way we project manage, we've completely changed that process in the last 2 years, and we're seeing a big efficiency gain in our CapEx that's helping that working capital as well.
Operator: [Operator Instructions] We'll go next now to Emmanuel Rosner of Wolfe Research.
Emmanuel Rosner: Just a couple of follow-ups on the earlier questions. So I appreciate all the color on the SOI puts and takes for 2026. Just 2 quick clarifications. The other costs of $120 million, was that a tailwind or a headwind this year? And then as you said, it ultimately comes down to volume. In order to hit sort of like that potential base case scenario of double-digit SOI growth versus the organic piece of last year. What kind of all-in global volume essentially is assumed?
Christina Zamarro: Sure, Emmanuel. I guess other costs are a headwind in the first half -- mostly in the first half. driven by -- I mean, it's factory inefficiencies, ramp downs of a couple of different factories in the first half. We talked about our first involved factory in Germany. Also, we had a closure in Danville, Virginia of our commercial truck production last year, and we're going to lap some of that in the first half as we move through that initiative. As far as volume, I mean, the way I look at it, Emmanuel, is we have a significant step-up in price/mix in Q2 and Q3 -- and then in Q4, we lap a really strong comp from Q4 2025. I think the way I look at that is we balance it against the volume assumptions that we make on the top line. And so we can balance that as we move through the year based on competitive conditions. But if I had to say right now, volume would be slightly down on a year-over-year basis and price/mix would be significantly positive just given what we've talked about in protecting our revenue per tire and our margins as we move through the year.
Emmanuel Rosner: Great. Yes, I appreciate the color. And then my second follow-up is on the Goodyear Forward. So you've obviously spoken about the potential for additional actions. Just curious how we should think about it? Are these going to be sort of like more incremental in nature? Or are you looking at a potential reloading of significant actions that might potentially be like more expensive from a restructuring point of view, but that could yield some larger benefits? And where would be the areas that you would be looking at for that?
Mark Stewart: Yes. Thanks, Emmanuel. We are continuing to use the philosophy, the cadence of governance and the drive for execution of Goodyear Forward to keep the pipeline filled with cost efficiency projects. And whether it's manufacturing efficiency, whether it's procurement efficiency, engineering development of, again, doing 30% more with the same number of engineers around the world. And so those are the activities we're doing. So we're not rolling out a big restructuring 2.0 at this point. It really is about execution right now.
Operator: We go next now to Ross MacDonald at Citi.
Ross MacDonald: It's Ross at Citi. I have 3 quick questions. The first one was on the inventory situation in the U.S. Could you maybe give a little bit more color if that inventory situation is full across all of the rim sizes? Or does it skew more to, let's say, sub 18-inch, more budget type content? And Mark, on your point around the SKU offensive you're rolling out, could you maybe help us model where you see the Goodyear North America 18-inch and above share finishing this year? I think you were at about 43% in Q3.
Christina Zamarro: So yes. So a couple of comments. I think inventory situation is broad-based. And that was probably just as we headed into year-end driven by promotional activity that did not seem to favor Tier 1, Tier 2 or Tier 3. It was really something that occurred more across the board. When I look at the mix of greater than 18-inch in the fourth quarter, our U.S. business was about 50% greater than 18-inch in consumer replacement. Of course, OE is almost all greater than 18-inch already. And as you Julie noted, in comparison during the same quarter earlier or same fourth quarter 2024, we were only at 42%. And since the larger rim sizes are the area of the market that has good growth, we're naturally now at a place where the portfolio is leveraged or geared towards growth. So that's good.
Ross MacDonald: That's helpful. My next question is on that promotional activity. Is there any merit from your perspective here in engaging in some of that promotional activity or discounting to try and encourage consumers to move up a tier or Mark called out that consumers were sort of delaying replacement decisions. Is there anything you can do here maybe to manage price down slightly, but with a view to actually getting higher volume market share on the back of that? It seems like the consumer is quite reluctant to move up tiers at this time in the cycle.
Mark Stewart: Yes. There's, as mentioned, a lot of sell-in promotional activities that went into in the channel, right, into the distribution side of it as well as some of the sell-out promo activities as well. So I mentioned that quarter 1 has this headwind with the weather situation, particularly in the U.S. marketplace, right? But we're being super disciplined about our promo activities that we're doing. for that. We feel that we've got our pricing ladders in the right spot now, our pricing power deltas versus the competition. We -- the new products that we've rolled out between MaxLife 2, WeatherReady 2, the Eagle F1 coming out right now, all of those products are absolutely on the top of our game and top of the podium. And we want to make sure that they command the right place in the marketplace. So we're continuing to monitor those things, but we want to make sure that we're providing the value of the Goodyear brand and our Cooper brands and family of brands there.
Ross MacDonald: And then final question, just a quick one on the truck business or commercial activities in the U.S. I'm not sure if you've disclosed in the past factory utilization rates in the U.S., but obviously, it has been a perfect storm, some prior callers asking rightly about the order inflection that we're seeing. But could you maybe frame where we are in terms of commercial activity utilization rates in the U.S.? Is this in your opinion, trough levels versus, let's say, the last 20 years?
Mark Stewart: Yes, that's not something that we have historically shared. As we look to that commercial business, it's -- our mission is to be #1 in the tires and service, both consumer and commercial. We've got a very healthy fleet business that we're servicing the premium fleets. We've got a very healthy local book business as well. And that really helps us in terms of being able to weather a bit of a perfect storm in the commercial business, right, with the emission regulation changes, a very healthy number of mothballed tractors, if you will, and a lot of fleets deciding not to do a prebuy or an early buy of those new emission vehicles from the OEs. So we are continuing to focus on our service levels and through our -- which is a differentiator for us is around our CTSC, our truck service centers around the country. But no, we don't share the information in regards to the actual output of the factories on commercial. As Christina mentioned, we did have a restructuring last year with our Gangle operations so that it can really focus on its aviation business.
Operator: We'll go next now to Ryan Brinkman of JPMorgan.
Ryan Brinkman: I wanted to ask first on the $300 million of Goodyear Forward savings expected for the full year. On my math, I think you should have about $260 million of full year year-over-year tailwind simply on the anniversarying of savings that were already achieved by the end of 2025, which I realize you overachieved on, but it maybe implies only about $40 million or so incremental savings sequentially from the end of 4Q '25. Firstly, is that roughly correct? And then secondly, do you maybe have any internal ambitions for more cost cutting? Has the organization roughly achieved the level of leanness that you target? Or how should we think about the level of margin improvement that might remain from cost-cutting potential?
Christina Zamarro: Sure, Ryan. I mean the assumption that you're making on the run rate flow-through is, yes, correct. It's about a little more than $250 million flow through. The rest is all new actions in 2026. I think we'll obviously look to build on that. And Mark was mentioning earlier, the pipeline fill, not just for 2026, but even beyond and that being a part of our rigor and our DNA inside the company. When we took another question a little bit earlier around restructuring cash costs, is there more to do? I think our mode of operation this year is to run the assets that we have. And we look at the playing field as if we have an unusually weak period in demand right now. So not necessarily looking to add any major restructurings to generate some cost out, but there's a lot we can do still yet in SAG in manufacturing efficiencies. And so we'll continue to build on that. And our intention is to come back and lay out not just what we're doing this year, but sort of that 3-year multiyear view for you a little later this year once some of this turbulence subsides and we just have the right backdrop to talk about the company story.
Ryan Brinkman: Okay. And then with regard to potential European higher tariffs, what are the various implications there might be from the pushout from -- of implementation from the early part of the year to the middle part. I recall the push out of expected tariffs in the U.S. in '25 had quite a bit of impact on prebuy activity, U.S. PMA share and volume, et cetera. This is less of a concern, right, in Europe, given the retroactive or potential retroactive nature of tariffs. Curious what your thoughts are there. And then alternatively, when we do get these tariffs, I thought your price mix comment sounded pretty good, including the step-ups in 2Q and 3Q. I know your practice is not to model anything for tariffs that haven't been officially implemented. But -- and obviously, that makes sense. I don't know what the rates are, et cetera. But just curious if within the industry, you might have any kind of early read or sense of what the potential range of magnitude of tariffs might represent and what the potential impact could be on volume share price mix when they do come...
Mark Stewart: Yes. Maybe I'll kick it off, Ryan, on the -- really 2 elements, right, to the tire tariffs in the EU. First were the antidumping investigation, and that specifically was on antidumping for consumer tires originated from China, right? We had expected it in January. It's now expected in July of '26. And in terms of your question there, the anticipated range for those duties is expected to be between 41% and 104%. And we will have to wait until that time to see what range that is, but it's definitely a large amount of duties there in terms of helping the competitiveness of the local footprint. Second is on the anti-subsidy investigation. In November, the EU also launched the anti-subsidy in terms of grants, loans, tax exemptions things around land or electricity usage below market into Chinese consumer tires as well. And so that is expected to conclude by the end of this year. And so from that standpoint, exactly to your point, right, it is -- things are preserved in terms of that possible retroactive duties. We'll just have to see how it pans out there.
Operator: And it appears we have no further questions this morning. Mr. Stewart, I'd like to turn things back to you, sir, for any closing comments.
Mark Stewart: Okay. Thank you. So thank you all for joining us today for the earnings call. Our fourth quarter performance really reinforces the progress we've made to strengthen Goodyear's balance sheet and the financial performance for the company. The near-term environment, as we shared, definitely remains dynamic, but we are absolutely focused on continuing to execute with the greater discipline, controlling the controllables and positioning the business to capture the attractive opportunities to continue to mix up as the market conditions normalize going forward. The work that we've done over the past 2 years has definitely created a more resilient, a stronger foundation. And as the visibility improves, we are very confident in our ability to translate that foundation into sustained margin expansion, stronger free cash flow generation and long-term value creation for our shareholders. So thank you all for joining us today. I appreciate the time.
Operator: Thank you, Mr. Stewart, and thank you, Ms. Zamarro. Again, ladies and gentlemen, that will conclude today's Goodyear Fourth Quarter 2025 Earnings Conference Call. Again, thanks so much for joining us, everyone. We wish you all a great day. Goodbye.